Operator: Good morning. My name is Samara, and I will be your conference operator today. At this time, I would like to welcome everyone to the Vermilion Energy Q2 Conference Call. [Operator Instructions] Thank you.  Mr. Dion Hatcher, you may begin your conference. 
Dion Hatcher : Thank you, Samara. Well, good morning, ladies and gentlemen. Thank you for joining us. I'm Dion Hatcher, President of Vermilion Energy. With me today are Lars Glemser, Vice President and CFO; Darcy Kerwin, Vice President International and HSE; Bryce Kremnica, Vice President North America; Jenson Tan, Vice President of Business Development; and Kyle Preston. Vice President of Investor Relations.  We'll be referencing a PowerPoint presentation to discuss our Q2 2022 results and our return of capital framework we announced this morning. Presentation can be found on our website under Invest with Us and Events and Presentations. Please refer to our advisory and forwar-looking statements at the end of the presentation, it describes forward looking information, non-GAAP measures, and oil and gas terms used today. And it outlines the risk factors and assumptions relevant to this discussion.  As shown on Slide 2, we delivered another quarter with record fund flows of $453 million and record free cash flow of $340 million, which is over $2 a share, that's up 16% and 12% respectively from the previous quarter. The increase was mainly driven by strong commodity prices as global oil prices and North American gas prices were strengthened during the quarter.  European gas prices remained strong in Q2 and relatively consistent with the prior quarter with TTT -- TTF in excess of CAD38 per mmbtu. Over the past several months, European gas forward prices have nearly doubled, which will build well for Vermilion. I will review the fundamental drivers for this later in my presentation.  Production during Q2 averaged 84,868 boe/d, which is down slightly from the previous quarter, mainly due to planned and unplanned downtime. Key notable event during the quarter was the closing of the Leucrotta acquisition on May 31. We have successfully integrated the Leucrotta assets and assembled the Mica asset team, which is now focused on completing a six well pad that was drilled in Q2. We are excited to have these high-quality assets in our portfolio and look forward to scaling up our development.  Thw Leucrotta acquisition was mostly funded by free cash flow generated in the quarter. As a result, net debt increased only slightly in Q2 to $1.6 billion, however, our net debt to fund flow ratio decreased to 1.1x as a result of our increasing fund flows from operations. We remain on track to achieve our next debt target at $1.2 billion by the end of 2022. And with this clear line of sight, we are pleased to outline our return of capital framework.  Before I get into the details of our return of capital framework, Slide3, reviews some of the key strategic objectives we accomplished over the last two years and will position Vermilion to deliver very strong returns over the long term. These objectives were part of the strategic plan we developed during the 2020 downturn.  Our number 1 financial priority was to reduce debt and strengthen the balance sheet. We have reduced debt by approximately $1 billion relative to Q2 2020 by the end of this year, while also funding over a $1 billion of strategic acquisitions without issuing any equity. We increased our international waiting and European gas exposure through the Corrib acquisition, which we expect to close in Q4 this year.  Our international assets now represent over a third of our production base and contribute approximately 2/3 of our fund flow and free cash flow. This international diversification is what differentiates Vermillion from our peers.  We reinstated a base dividend in Q1 of this year, and today we're excited to announce a 33% increase in our Q3 quarterly dividend to $0.08 per share. The dividend is very resilient at less than 3% of our fund flows and leaves ample room for ratable increases over time. We completed the Leucrotta acquisition in Q2, as Mica asset significantly increases the depth and quality of our North American inventory, which will further enhance our free cash flow profile and underpin our long-term return of capital.  And finally, we said that we would increase our return of capital when we achieve the line of site to our $1.2 billion mid cycle debt target, with less than two quarters remaining in 2022 and a robust outlook for 2023, let me now return -- review the return of capital framework on Slide 4.  Vermilion has a long history of returning capital to its shareholders. In the past, this has been primary through base dividends, which we've delivered over $40 a share. Going forward, base dividends will remain a key component of our return of capital framework, however, we want to ensure the base dividend is resilient over the long term through the commodity cycles, while allowing for ratable increases over time where they have placed a burden on our business or the balance sheet.  With this philosophy in mind, we plan to limit the annual base dividend outlay to approximately 10% of our mid cycle fund flows. For reference, this would equate to approximately a $100 million based on the current asset base, but could increase if our asset base grows or if we see a fundamental shift in our mid cycle commodity price assumptions.  In conjunction with our Q2 release, we announced a 33% increase to our Q3 quarterly dividend to $0.08 per share Canadian. This equates to an annual dividend of $0.32 Canadian per share, or approximately $53 million based on the current number of shares understanding. At this dividend per share level, we have the capacity to increase the base dividend and we look forward to provide ratable increases over time.  With our debt approaching target levels, we will pivot from allocating free cash flow for debt reduction to the return of capital, maintaining a strong balance sheet is a core principle at Vermilion, and we remain focused on that going forward. We plan to enhance our return of capital to shareholders going forward while continuing to reduce debt to a target of $850 million by the end of 2023, which implies approximately another $350 million of further debt reduction beyond our year-end 2022 target. It also implies we will be undrawn on our $1.6 billion credit facility leaving just our term U.S. notes outstanding.  The amount of free cash available for return of capital will increase as debt levels decrease based on the illustrative grid outlined on Slide 4. The grid is not intended to be prescriptive quarter to quarter, but will be used as a tool to guide near term return of capital allocation decisions while taking into account other capital requirements such as further debt reduction, asset retirement obligations and acquisitions.  As you can see from this grid and near term debt targets I discussed, a significant portion of our future free cash will be available to return to shareholders. Based on a return of capital allocation grid, recent commodity strip and internal estimates, we anticipate returning up to 25% of free cash flow in the second half of 2022 and up to 50% to 75% of free cash flow in 2023 while achieving our debt targets.  Our goal is to return capital in the most beneficial method to shareholders. We will consider various options to return capital, including share buybacks through the normal course issuer bid, regular and special dividends and a potential substantial issuer bid. Based on our review of a number of data points, we will initially allocate the vast majority of this capital return to share buybacks. Given the structural improvements in our business, combined with the strong fundamental outlook for global commodities, we believe Vermilion is very well positioned to generate significant free cash flow in the years ahead. However, we do not believe this value proposition is accurately reflected in our share price today and therefore at this time we view share buybacks as the most compelling use of free cash flow that will benefit long term shareholders.  Early July we announced the approval of our normal course issuer bid for the purchase of up to 16 million common shares representing approximately 10% of Vermilion's public float. To date, we have repurchased 1.25 million common shares for $35 million. As we reduce our share count, this will also enhance our ability to increase the base dividend while adhering to our annual dollar limit of 10% mid-cycle bundles.  We look forward to providing continued updates on our return of capital initiatives through the second half of this year and through 2023 as we carefully weigh capital allocation decisions against various uses of excess free cash flow with a view of acting in the long term interest of our shareholders.  Slide 5 is from an Investor Relations presentation where we provide an updated financial outlook for 2022 based on the actuals to date and our estimates for the balance of the year using the current commodity strip. As you can see on a pro forma basis including the full year impact from the Corrib acquisition, we are forecasting pro forma fund flows of 2.4 billion and free cash flow of $1.8 billion or approximately $11 per share. We also show our year end debt target of $1.2 billion, which incorporates the return of upwards of 25% of free cash flow in the second half of this year.  We have not yet provided any formal guidance for 2023, but if you assume production to sell flat at our exit rate forecast of 95,000 boe/d to 100,000 boe/d and you honor the backwardation in the commodity price forward strips, we are looking generating similar amounts of free cash flow in 2023, which is consistent with the analyst estimates.  As outlined on Slide 6, looking at our cumulative free cash flow over a three year period from 2022 through to 2024 assuming flat production from our existing asset base and applying the forward pricing, we expect Vermilion to generate over $5 billion of free cash flow over this time, representing by the blue bars. This amount of free cash flow is equal to our current market capitalization. The gray bars show the cumulative free cash flow we currently plan to allocate to debt reduction.  And as you can see, the majority of the free cash flow was allocated to debt reduction in 2022, including the funding of over 1 billion of acquisitions, whereas for 2023 and ‘24 we will pivot and majority of the free cash flow will be available for return of capital to shareholders now that we have a much stronger balance sheet.  As I mentioned in my earlier remarks, the fundamentals for European gas are very strong. Slide 7 shows historical pricing of European gas and Asian LNG, which have traded in the similar band since 2015 compared to the Canadian benchmark price of April. The blue bars represent the average premium that Vermilion receives on its total gas sales relative to April, this premium was approximately $6 mmcf in 2021 and is forecast to be approximately $19 in 2022. We also show the forward pricing for the balance of 2022 and 2023, which is increased significantly from historical levels. Second half 2022 TTF is $75 per mmbtu, and 2023 is now over CAD70 per mmbtu. For every dollar increase in Euro gas prices this adds in an incremental 37 million of fund flows to Vermilion on an annual on-hedge basis.  Our hearts, thoughts and prayers are with the Ukrainian people and our hope is that a negotiated settlement can be achieved quickly. The tragic events in Ukraine are undoubtedly contributing to the price increase, however the underlying fundamental drivers for high European gas prices were in place prior to the invasion.  Chart on Slide 8 shows the 2023 and 2024 forward price for TTF and how much it has increased since the beginning of the year. The calendar year 2023 TTF price has increased from under $20 at the beginning to year to over $60 today. This will have a significant impact on Vermilin’s funds flows in 2023 and we have been adding more European hedges in 2023 in recent weeks.  We believe the structural drivers will be supportive for European gas prices for many years to come. Europe consumes approximately 45Bcf /d to 50 Bcf/d of natural gas with approximately 40% of that being supplied from Russia in 2021. With recent events, the EU is now trying to significantly reduce its dependence on Russian gas. EU recognize natural gas as a transition fuel which we really will help facilitate the permitting and development of domestic supplies over time as countries increase use of natural gas for power generation. Examples of this transition include Germany shutting down nuclear and accelerating a phase out of coal from 2038 to 2030, and Ireland committing to build nine gas fired power generators by 2024.  With the domestic supply in Europe continuing to decline the only viable option to replace Russian gas is to increase LNG imports, but there is limited new LNG supply coming on the market prior to 2025 and 2026. These new projects require significant and longer-term contracts, significant capital.  So in order to attract LNG to Europe, buyers need to compete with Asian, which is driving European gas prices even higher. Short-term, we expect Asian LNG demand to increase as they look to build inventories prior to this winter, but more importantly, mid to longer-term Asian demand for LNG is forecast to significantly increase.  As I mentioned, we are starting to layer in more 2023 European gas hedges to lock in some of our fund flows at these higher prices. As shown on Slide 9, since our last update, we have increased our 2023 Euro gas hedge position from 32% to 45%. Those recent hedges were executed primarily with wide collars with an average floor of about $40 and ceiling of about $70.  Through the higher gas prices we may further increase our 2023 Euro gas hedge position to 60% to lock in even more fund flows. At the corporate level, given our low debt levels and current outlook, we tend on keeping our total hedge percentage at the lower end of our target range of 25% to 50%, which will leave us with the exposure to sustain higher oil prices.  Going back to our Q2 results, we have provided a brief summary of our operational highlights on Slide 10 and 11. Most notable activity in our international operations in Q2 was our offshore drilling program in Australia. This program was scheduled start early in the second quarter, but was delayed approximately one month due to unexpected maintenance and repairs on a third party contracted rig. During routine inspection prior to moving the rig to our location, the operator identified some maintenance requirements and had to mobilize the rig to Singapore for repairs.  We commenced drilling late in the second quarter and drilling operations are progressing, although the delay did result some deferred production and a higher cost. We expect to finish drilling in early September and will start the wells shortly thereafter.  It was a relatively quiet quarter in Europe as the team focused their efforts on preparing for our second half 2022 drilling campaign, which will include 2 wells in the Netherlands, 3 wells in Hungry, and 2 wells in Croatia.  Subsequent to the quarter, a forest fire near our Cazaux field in southern France resulted in approximately 1,500 bbl/d of production being temporarily shut-in, our staff in France worked closely with emergency responders to ensure the safety and security of our employees, our contractors, and installations, ensuring there were no HSE incidents. We are in the process of making necessary repairs and bringing this production back online, however, this will have an impact on our France production in the second half of 2022.  It was a relatively quiet quarter in Canada as drilling and completion activities in West Central Alberta, Southeast Saskatchewan was limited during the second quarter due to spring breakup. Following the announcement of the Leucrotta acquisition in late March, we submitted our Mica asset team and focused on integrating the assets and working closely with the Leucrotta team in drilling the first 6 well Montney pad. Drilling with successfully completed during the second quarter, and the team is now focused on completion activities that is progressing as per plan.  In the U.S., we drilled 4 wells of our planned 6 operated Turner wells, and completed 2 wells during the second quarter. One well was brought on production during the second quarter where the remaining wells will be completed and brought on production during the third quarter. Overall results today are in line with expectations. Subsequent to the quarter, we successfully executed drilling and completion activities on three -- two mile laterals, which are significantly more economics than the one mile laterals.  Moving to Slide 12. Our Q3 2022 capital permit is well underway, and in Europe we will start our drilling campaign later this month, and continue through the fourth quarter. As mentioned, the forest fire here in Cazaux field in Southern France resulted in approximately 1500 barrels a day of production being temporary shut-in, and we expect to have most of it back online by the end of the year.  Looking at our Q3 production forecast, we will benefit from a full quarter contribution from the Leucrotta acquisition and new production from the U.S., Southeast Saskatchewan drilling programs, partially offset by the Australia drilling program delay and fire related downtime in France. Taking all this into account, we expect Q3 production to be in line with Q2.  As a result of the forest fire related downtime in France, offshore drilling delays in Australia, combined with inflationary pressure, we are increasing our 2022 capital budget by $50 million to $550 million. We are maintaining our annual production guidance of 86,000 to 88,000, excluding the Corrib acquisition volumes.  We plan to update our production guidance once we have greater certainty on the timing of the Corrib close, which we expect to occur in Q4. Our exit rate forecast of 95,000 boe/d to 100,000 boe/d including Corrib acquisition bonds remains unchanged.  Before we open enough for Q&A, I want to make some closing remarks on our upcoming leadership changes. As we announced earlier this year, Vermilion’s Executive Chairman and Co-founder, Lorenzo Donadeo will be retiring from the company effective September 1. Lorenzo was instrumental in creating what Vermilion is today along with creating significant value for our shareholders during his tenure.  On behalf of the whole organization, I would like to thank Lorenzo for his leadership and guidance of the company over the 27 years. You will be greatly missed by everyone at Vermillion. But if anyone deserves a long happy and fulfilling retirement, it is Lorenzo. We wish you all the best, and look forward to providing a regular quarterly updates as a meaningful shareholder of Vermilion for many years to come.  As previously announced, Mr. Bob Michaleski will assume the role of Independent Chairman on Lorenzo's departure. Bob has 41 years of experience and oversaw Pembina’s pipeline transformation from merely a Alberta-based oil company into one of North America's leading integrated energy transition service companies.  He served as the President and CEO of Pembina for 13 years. He joined Vermilion Board in 2016, and was appointed as Chair of the Audit Committee in 2020. Vermilion’s executive committee structure will continue and will fill the role -- we will fill the role of Chief Executive Officer. It will be led by myself and will include all the existing members.  Well, that concludes my prepared remarks. Well, with that, we'd like to open it up for questions. 
Operator: [Operator Instructions] And we'll take our first question from Menno Hulshof with TD Securities, please go ahead. 
Menno Hulshof: Yeah. Thanks. Thanks, and good morning, everyone. I'll start with a question on Corrib. If we assume that it does close, what is your best guess in terms of the purchase price net of accrued free cash flow? We've run some numbers on this end and in our estimate is very low, but any thoughts here would be would be helpful. 
Dion Hatcher : Thanks, Menno I'm going to pass it over to Lars to address that one. 
Lars Glemser: Yeah, good morning, Menno. I think you're thinking about it the right way in terms of cash to close at December 31st of this year from a modeling perspective. And then obviously full access to the cash flows in 2023. I think the number that is good to use for yearend this year would be a purchase price of CAD100 million to CAD150 million Canadian, if it were to close at the end of 2022. And that would be inclusive of the contingent payment that is in the money for 2023, which was $25 million. So I think that's the best way to model it and a good way in terms of how you're thinking about it. 
Menno Hulshof: Terrific. Yeah. Thanks Lars. And then on acquisitions, in the past you've talked about smaller Euro gas packages potentially becoming available, and I know there's -- there are limits to what you can say here, but like at a high level, what are the boxes that need to be checked to pull the trigger on -- in other Euro package? And do you see these opportunities being able to compete with buybacks at the current share price? 
Dion Hatcher : Well, thanks Menno. I’ll pass it back to Lars to address what we're thinking about that relative to our return of capital framework. 
Lars Glemser: Yeah. Thanks Dion. And maybe I'll just rewind a little bit Menno with the return of capital grid. What we really wanted to do was shift focus back to the $11 per share of free cash flow that we're generating. Dion mentioned $1.8 billion of free cash flow in 2022, that's on a pro forma basis. That's probably not a bad proxy to think about free cash flow for 2023.  And then what the return of capital grid is going to do is create discipline in terms of where we are allocating capital. There's flexibility in there in terms of how we return capital? At this point in time, we'll be doing it through share buybacks. And as importantly, in terms of acquisitions, when it comes to North America, nothing big. We think that we have done the heavy lifting in terms of hydrating the inventories here in North America. It'll be more tuck-in bolt-ons in terms of our existing position within North America.  And then Europe, I think we've had good success, a good track record there of making acquisitions. Now that those acquisitions will continue to compete with returning capital to shareholders, we will be looking for I'd call it, deep value type opportunities in Europe as we move forward here. Some acquisition -- sorry, some announcements have been made in the past in terms of potential opportunities in jurisdictions like Netherlands, but again, its going have to be competitive in terms of where we return capital. 
Operator: I'll take our next question from Greg Pardy with RBC Capital Markets.
Greg Pardy: Thanks for the rundown, Dion and Lorenzo, just all the very best in your -- I guess it's your second shot at your retirement. Couple -- maybe just one maybe modeling question is, what kind of book tax rates should we sort of think about on a consolidated basis? And Lars, I want to ask that -- just that tax question. Is it still, I don't know, 11%, 12% or so pre-tax? 
Lars Glemser: Yeah, so I think for 2022, and I'll sort of correlate these tax rates to the pro forma numbers. So we're referencing $2.4 billion of cash flow for 2022. In the context of that, 10% to 11% is still a good way to think about it, Greg. For 2023, I would say that rate has gone up in the context of current strip pricing. I would sort of peg it at 13% to 15% for full-year 2023. 
Greg Pardy: What about book, sort of like 30% odd or so just as a book tax rate? 
Lars Glemser: Sorry, could you repeat that, Greg? 
Greg Pardy: Yeah, just your book tax rate. What would you sort of be thinking? I know you're giving me the cash taxes, but just as a book tax rate?
Lars Glemser: Yeah. So I think a good way to think about it is in the 30% range. 
Greg Pardy: And maybe just sort of related to Menno's question. With Europe now kind of thinking very differently about gas as a transition fuel as you mentioned, are there -- are policymakers or governments now starting to come to you as one of the longstanding developers in Europe in terms of just encouraging domestic supply growth as opposed to just relying upon imports? 
Dion Hatcher : Thanks, Greg, I'll take this one. I think what's happening when you look over the last several quarters with crisis, I believe it is an energy crisis in Europe, the policy makers have triaged their approach with -- starting with LNG, which is material albeit at longer timelines. Next, there's been discussions around offshore, and that leads us to your question around onshore. And so yes, we are having continued engagement in both Netherlands and Germany in particular, questions that would be framed around what could Vermilion as an operator of some of those jurisdictions for decades be able to offer with increased activity. What we've done? We always focus on what we can control. So we've added staff in both Netherlands and Germany, technical staff to be able to prepare for higher levels of activity. I would caution that timelines are longer in Europe. And so the time from a conversation to action and drills, it's longer, but I would say it's encouraging and somewhat logical that you would see some increased activity associated with the current situation and need for more domestic supply from responsible producers like Vermilion. 
Operator: And we'll take our next question from Patrick O’Rourke with ATB Capital. 
Patrick O’Rourke : Congratulations to Lorenzo. Obviously a long and well story career here at Vermillion, so appreciative all of your work. Guys, maybe just to build on Greg's question there, you talked about sort of the regulatory regime and timelines in Europe. As we get into the 2023 budgeting cycle and as you look at the portfolio, sort of what are the other hurdles to bringing on production in Europe? Where could you allocate capital to sort of capture this windfall gas price that we're seeing over there in sort of the quickest manner? Is it in the Netherlands? Is it in the CEE? What are sort of the infrastructure constraints? I don't think that you would have any in the Netherlands there. 
Dion Hatcher : Well, thanks, Patrick. I think, first of all, the acquisition with Corrib to bring on that 7,700 Boe/d is probably the most impactful thing that in hindsight was very well timed and are excited to close that at the end this year. So again that's 7,700 Boe/d there.  From an organic point of view, we're focused on every boe to look for opportunities. I think in Germany, we do have a deep inventory of drilling prospects. That, again, we've added resources back to look at some of the more, I would say larger targets, but a little more-higher risk. So that's something we're reviewing. CEE is an area once we get these permits in place like SA-10, we're able to follow through and drill wells in shorter timelines.  And then Netherlands, we used to drill 4 to 6 Wells in Netherlands. We're drilling two in the second half of this year or so. Our view would be less work back to those higher levels of activities.  So I would say all jurisdictions. Netherlands does have the potential to increase activity as well as Germany. We drilled three wells earlier this year, and we're looking at on the gas side what we might be able to do in late 2023 and into 2024. So quite excited to be having those conversations. And again, our near-term focus is getting more staff in those to be used to be able to react once it aligns with the regulatory framework to be able to put more capital into those business units. 
Patrick O’Rourke : Okay. And then maybe shifting over to the return of capital framework here, and in particular the dividend. You guys referred to ratable dividend increases, the pro forma math that we have on today's dividend increase with sort of the sub 4% of 2023 pre cash flow. So I wonder in terms of -- maybe you can provide some goal posts around what you mean with respect to ratable and also sort of the cadence or review period like, how frequently you plan to review the dividend going forward here? 
Dion Hatcher : I'll pass that one to Lars to talk about our thoughts on the base dividend. 
Lars Glemser: Yes, thanks Patrick. The way we have framed the base dividend component is not -- look to not exceed 10% of our cash flows at mid cycle pricing. And I think that's some discipline that we want to continue to have in the business to ensure that that base dividend is resilient. Based on our current numbers with the increase today, we're about $50 million to fund the increased dividend that we did announce today. So that is where there is ample room to continue increasing that and still be in line with our -- not to exceed 10%.  Now in terms of the cadence or how we will do that. I would say at this point, we're looking for ratable type increases over time. We think that also with the return of capital framework that we announced today, there is flexibility in terms of how we return that capital. The base dividend will be one mechanism that we use or one medium that we use, it will not be the majority of capital that will be returned through that. So that's where we have flexibility in terms of share buybacks, variable dividend, special dividends.  We will err towards buybacks at this point in time, just based on the data points that we're reviewing, where we think capital is best allocated. So hopefully that provides a little bit of clarity in terms of the fixed based dividend will be one component of a return to capital, but we truly want to make sure that that base dividend is fixed and resilient in prices that are much lower than what we're seeing today. 
Operator: [Operator Instructions] We'll take our next question from Josef Schachter with Schachter Energy Research. Please go ahead. 
Josef Schachter : Good morning, everyone. And thanks so much for taking my question. In Europe we're seeing a lot of demand management, UK talking about preparing for blackouts, Germany telling certain industries you may get cut back certain percentages of gas, assuming the Russians are aggressive in terms of cutting back. Is there anything going on the supply management side where they're asking you to hold back and put into storage near consuming areas gas to bring on later? Or if you have new wells coming on, bring them on close to the winter. Is there any supply management stuff going on that would impact Vermilion in Q3, Q4 and into Q1 of next year? 
Dion Hatcher : Hi, Josef. I'll take that one. Quick answer is no, we're selling all the gas that we're producing and there's no discussions around us storing or restricting our production. 
Dion Hatcher : With that, I think that we have no more questions. So I guess Samara, we would like to thank everyone again for participating in our Q2 conference call and look forward to future updates. 
Operator: Thank you. And this concludes today's call. Thank you for your participation. You may now disconnect.